Operator: Good morning and welcome to the Farmland Partners Inc. Q1 Earnings Conference Call. All participants will be in listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note this event is being recorded. I would now like to turn the conference over to Mr. Paul Pittman. Please go ahead.
Paul Pittman: Thank you. Good morning, and welcome to Farmland Partners first quarter 2015 earnings conference call and webcast. We truly appreciate you taking the time to join us for these calls because we see them as very important opportunity to share with you our thinking and our strategy in a format less formal and more interactive than public filings and press releases. With me this morning is Luca Fabbri, the Company's Chief Financial Officer. I will now turn the call over to Luca for some customary preliminary remarks.
Luca Fabbri: Thank you, Paul. First and foremost, I would like to also welcome you to this conference call and webcast and thank you for joining us. The press release announcing our first quarter earnings was distributed yesterday evening. A replay of this call will be available shortly after the conclusion of the call through May 20, 2015. The numbers to access the reply are provided in the earnings press release. For those who listen to the rebroadcast of this presentation, we remind you that the remarks are made herein are as of today, May 6, 2015 and have not been updated subsequent to this initial earnings call. During this call we will make forward-looking statements including statements related to the future performance of our portfolio, our identified acquisitions and farm properties under evaluation, impact of acquisitions and financing activities, as well as comments on our outlook for our business, trends in the broader agricultural markets. We also will discuss certain non-GAAP financial measures including but not limited to FFO, adjusted FFO, EBITDA and adjusted EBITDA. Definitions of these non-GAAP measures, as well as reconciliations to the most comparable GAAP measures are included in the company's press release announcing first quarter and full year earnings which is available on our website www.farmlandpartners.com. Listeners are cautioned that these statements are subject to certain risks and uncertainties, many of which are difficult to predict and generally be on our control. These risks and uncertainties can cause actual results to differ materially from our current expectations, and we advise listeners to review the risk factors discussed in our press release yesterday after market close and in documents we’ve filed with or furnished to the SEC. I would now like to turn the call back to our Executive Chairman, President and Chief Executive Officer, Paul Pittman. Paul?
Paul Pittman: Thank you, Lucca. I want to spend a few minutes discussing the highlights from our first quarter, talk about our goals and strategy for the rest of 2015 and discuss some general markets trends. In addition for the first time we’re providing annual guidance. As is typical in agricultural businesses due to timing and the growing season based nature of our business annual results are much more meaningful then interim results. Luca will give more detail of our thoughts on 2015 financial outlook towards the end of the call. We’re executing aggressively on our growth plan. We continue to grow our company at a rapid pace. From 7,300 acres at the IPO a little over a year ago, we now have 46,500 acres at the end of 2014 and today including farms under contract we’ve over 68,000 with a market value well over $300 million. In the first quarter we closed on six acquisitions in four different states totaling 2,900 acres. We also for the first time during the first quarter used equity as a part of the consideration in the farm purchase. We believe this will become more common in the future. We currently have under contract our largest acquisition to-date that’s 15,000 acres in South Carolina, North Carolina and Virginia from a single seller. As previously announced when we close this transaction which is likely to be in the next few weeks we expect to recommend that our board raised a dividend by about 10% to $0.51 per year. Approximately 40% of the consideration in this acquisition will be in the form of equity securities. We view it as a very positive development that a large and sophisticated land owner was willing to take that larger portion of the purchase price in equity. We’ve had many requests from investors in the past for more detail on our specific farms, to meet that request we’ve added a section to our website which now contains extensive information about the farms in our portfolio including detailed locations, aerial maps and soil maps. The conservative and stable nature of our business model continues to serve us well. As discussed in the past the majority of our portfolio well over 85% for the 2015 crop year by expected revenue is rented under cash leases. All of our farms are rented for the 2015 crop year. In the context of the overall agricultural market conditions we believe that this conservative business model is being proven out. Commodity prices remain low, but supply and demand dynamics point toward a recovery in the next year or two. Corn has been about 750 twice in the last seven years and it will get there again. It is important to remember that short term changes in commodity price do not directly affect farm land value. Land values are in fact holding up. There are reports in surveys that some local markets are seeing modest price declines and we agree with that. Some markets are flat and some markets are in fact still seeing price increases. As I’ve said many times before farm land prices are functions of three to five years profitability outlook for agriculture not near term commodity prices. If farm profitability doesn't recover with the 2015 harvest we would expect to see some more negative impact on land values. However, from our company's perspective we do not face many rent rollovers in our portfolio at the end of this year so we are largely insulated from downward pressure on cash rents and they would fall at 2016. Now I want to give you some insight into how we add value to our farms after we acquire them. One of the acquisitions we made in the fourth quarter of last year, the package of South Carolina farms we purchased in December for approximately $28 million presented several opportunities for improvements. We worked very hard and very fast to implement these improvements before the planting season. We added irrigation to over 2,000 acres, cleared timber on a 198 acres and added them to the tillable base on that farm. We developed 22 irrigation pivots and 16 new wells to supply water to these new pivots. The total investment was 3.75 million materially improving that farms' productivity. Significantly, we were able to raise the ramp on those farms after those improvements from approximately a cap rate at the time of purchase of 5.1% to a new cap rate including the value of the additions of 5.6%. This is only one of many examples where we work with tenants to improve the farms we own. Another initiative I would like to update you on is our volume purchasing program. After a pilot program for the 2015 growing season that involved a handful of tenants we are now seeking to enroll all of our tenants and multiple vendors for the 2016 crop year. We believe that we will be able to help our tenants reduce input cost for participating farmers by about $10 to $20 per acre in the first year growing overtime to as much as $25 to $50 an acre depending on the crop grown. We will do this by collecting the volumes and the information we get from our farmer network and then working with suppliers to streamline their supply chain so they can operate more efficiently and our farmers can get lower input cost. Over time this will improve our tenants’ credit risk and deepen our relationships with those tenants. During the remainder of 2015 we intend to continue adding to our portfolio increasing the number of acres and tenants across the country, we also intend to begin gradually to add acres in the specialty crops arena. With that I will ask Luca to walk you through some of the key operating and financial highlights contained in our earnings release and then we will take questions you may have about this during the discussion in Q&A.
Luca Fabbri: Thank you, Paul. In the first quarter of 2015 we closed on six acquisitions in four states totaling nearly 2,900 acres. The highlight of the month closings of the quarters was our first acquisition using equity as part of the consideration as we issued 63,851 shares of common stock in connection with the acquisition of the Colorado farm. From an acquisition perspective in the first quarter we also put under contract a total of 19,093 acres with an expansion of two new states North Carolina and Virginia. The acquisitions we put under contract either closed or expected to close in the second quarter bringing us revenues for the full year and include the significant equity component in the consideration. During the first quarter we did not issue any new [debt] after the quarter closed, we issued two new bonds under the Farmer Mac Facility totaling 26.1 million both such bonds are ten year interest only at fixed rates of 3.68% and 3.69%. They increased meaningfully the weighted average duration of our in-debtness. Now let me turn to our first quarter 2015 financial results. As I covered some of the key highlights please refer to our earnings press release for more details. For the first quarter we recorded rental income of 2 million and a net loss of 181,000. We received 6.5 million in cash rents for the 2015 year and all our properties are either rented or expected to generate rent revenues for the full fiscal year. Like many other REITs, we look at certain non-GAAP measures particularly adjusted funds from operations or AFFO as additional measures of our performance. We calculate FFO, funds from operations consistent with the definition provided by the national association of real estate investment trusts. The key adjustments we make to FFO to arrive at AFFO are to recognize revenue in the calendar year in which the cash rental payment was actually received and to exclude non-cash expenses such as stock compensation and certain acquisition related expenses. Our AFFO for the first quarter was 0.4 million on the fully diluted weighted average basis AFFO per share was $0.04. When we calculate first share and non-GAAP measures on a fully diluted weighted average basis we include units in our operating partnership which is our main operating subsidiary because of their one-to-one parity with our publicly traded shares. On that basis our fully diluted weighted average share count as of end of the first quarter with 9,683,471 shares. As Paul mentioned earlier for the first time we are now providing guidance for the full year ending December 31, 2015 as well as certain assumptions used in preparing our guidance. Our operating and financial performance is on track with management expectations of AFFO for fully diluted weighted average share of approximately $0.58 to $0.62 for full year. As is typical of our agriculture businesses annual results are more meaningful than interim results. Accordingly first quarter AFFO must be viewed in annual context to give that AFFO for – given that AFFO for the first quarter does not include one, revenues deriving from leases that provide for a rent payment determined as a percentage of gross farm proceeds which are typically received and recognized in the fourth quarter. Two, crop revenues above our taxable REIT subsidiary deriving from custom farm acres which will be received and recognized in the fourth quarter as well. And three, revenues deriving from acquisitions closed or expected to close after the quarter’s end. The company estimate is based on the following key assumptions; total AFFO revenues of approximately $15.7 million to $16.5 million. Property operating expense of approximately $0.9 million to $1 million. General and administrative legal and accounting expenses excluding stock base compensation of approximately $3.4 million to $3.6 million. Interest expense of approximately $4.6 million to $4.8 million and fully diluted weighted average shares for the full year of approximately $11.69 million. Key investments assumptions include closing of our current acquisitions under contract and acquiring $15 million in additional farm land in Q2. This concludes my remarks on our operating performance for the first quarter. Thank you for your time this morning and your interest in Farmland Partners. Operator we would like to begin the question and answer session.
Operator: [Operator Instructions] Our first question comes from Dan Archer at FBR.
Dan Archer: Thanks. Good morning everyone. I want to start from kind of macro question then more specific about the results but just from a big picture standpoint, Paul I don't think you really have any material or any exposure to California with the drought there, can you give us some perspective as to how that might impact the farming industry whether it’s at the farm level, at the property value level or at the farmer level?
Paul Pittman: Sure. So specifically we do not have any exposure to California in our portfolio at this time. So no direct impact on our company and there aren't any more operating properties because of the water crisis in California. Then thinking more broadly though about what that does to the nationwide farmland market, the crisis in California is fundamentally of two types. One is near term impact of couple of very dry years which is exacerbating a series of long term structural problems in terms of lack of water in the southern central valley generally. What we will expect to see in coming years is that the central valley of California will become a location where only the highest value crops are grown because the water will become more scarce and more expensive therefore farmers will be forced to only grow the things at that climate that there are certain crops can only be grown in the central valley and they will continue to be growing there because that's the highest invest use of that land in a limited water. What we believe that will do and we are executing with recognition of this fact it will drive irrigated farmland values or the values of mid western farmland up materially because all of the low value crops produced in the central valley today are going to have to find a home largely somewhere else in the United States that has abundant water to grow those sort of crops. Think alfalfa for example that is still grown in the substantial volume in California. That reduction is going to move somewhere else. So we believe that these farms we’re buying for example in this South Eastern United States and making major irrigation improvements to are moving to significantly increase in value in the coming years due to the loss of irrigated land in a place like California.
Dan Archer: Great. Okay. Thanks. That's a very complete answer so I appreciate that. In regard to, I guess the results can you give us a little bit of update on the capital availability you currently see I guess what’s remaining of the Farmer Mac availability and I guess how that related to some of the guidance in terms of the – I guess only $15 million of expected acquisitions in Q2 is that kind of the function of capital availability or there are kind more – in the pipeline to think about for third quarter and fourth quarter included in the guidance?
Paul Pittman: Well, the pipeline is way beyond our capital availability. There is no limit to the good investment opportunities in front of us, but there are fundamental limitations on our capital and how much leverage we want to have in our portfolio. So we are basically what we say in that guidance should be clear to everyone, the reason there is only 15 million more beyond what we have already contracted for in Q2 is that we have largely spent in its entirety the capital we have raised in the past and we have spent largely as much of the debt capacity not that not limit on what we can access it’s a limit on how much leverage we want to portfolio. So, we are really fundamentally closing in here on fully invested in every sense of that word given the capital we have today. We are – we will obviously from time to time return to the market to raise capital and grow our business that's our fundamental business model.
Dan Archer: Got it. Yes that's loud and clear. And then just thinking about the equity that has been used in some of these most recent deals, can you just give us a little bit of flavor of how some of those negotiations work with the sellers, were the sellers really eager to get equity or is there some trade off here in terms of the terms or prices that will take some equity that will give you – difference in terms of price or lease duration? 
Paul Pittman: Let's separate this between the transactions, we did some smaller transactions within the neighborhood of 15% equity or so of the purchase price and then we have done this larger one recently which isn't closed yet but it is about 40% of the purchase prices equity. So, in the smaller transactions with smaller equity amounts what's fundamentally going on there is it is a less expensive way for us to raise equity to use it as an acquisition currency as opposed to frankly pay investment bankers and others to raise capital for us. So, we would like to push modest amounts of equity into many of our transactions when we can. We made that pretty clear to sellers. Sellers are smart, we are new company. They want to see us get into our second year of existence as a public company, but we have started to have people. I won’t say they are jumping up and down demanding that they get equity in a transaction, but we are actually not having very much trouble getting them to take modest amounts. It will extend our ability to grow the business rapidly without returning to the market all the time. Obviously we are issuing equity that way so we have to be cognitive of the prices we are issuing on that. On the bigger transactions there is a bit more of a – the first group I will call it stretching our cash availability as really the approach there. On the bigger transactions conceptually we really want to see equity get used in a lot of these large transactions. I doubt we will do it in every one we ever do, but there is a fundamental sense of partnership when you get somebody to take that much equity and in a very large sale lease back transaction we think that is the right sort of principle position as an acquirer to be in. So in that transaction we basically started from the standpoint that hey we are not going to do this deal unless we get a substantial amount of equity into the consideration which we were able to accomplish. We certainly didn't pay more for the farm to get them to take our equity that wouldn't make much sense at all. So we frankly feel that since we announced that transaction it has been good for the company stock price and frankly it’s good for the seller because the stock price has moved upwards from the point of time we negotiated the transaction. So, it’s frankly win, win for everybody. But its – it’s kind of two approaches depending on the size of the deal that we are taking but we – but the key take away is we are going to try to push more equity issuances into our acquisition transactions in the future because we thinks it’s good overall for growing the company in an efficient manner.
Dan Archer: Thanks for that and I just have one follow-up probably for Luca just with the new Farmer Mac bonds that were issued and maybe a little bit more to maybe reissued if there is another transactions that $15 million. Can you just kind of give us a sense of what you are kind to all in weighted cost – weighted average cost of debt is now?
Luca Fabbri: I don't have that number in my fingertips right now. Of course, by stretching to the ten year, I mean all the cost of the various bond is out there in the public domain with the ten year of course we are incurring a little higher interest cost of course, but still fairly significant margin so that the acquisitions are accretive of course.
Dan Archer: Okay. Thanks.
Operator: The next question comes from David Rodgers with Baird.
David Rodgers: Yes, good morning guys. Paul a question for you maybe first off on the 3.75 million of investments you said you made in the fourth quarter in that farm. So I guess that was outside of the initial purchase price and I was curious little bit on the return on investment looks like it may be about 10% ROI on that spend and do you see more opportunities to do that am I right that wasn't in the purchase price and –?
Paul Pittman: You are correct. It was not in the purchase price. As a general model when we make those sorts of tenant improvements, the improvements of tenants who are working with us to make, but there are fundamental capital improvements to our properties so we are paying for them. We would expect to get a 6%, maybe even 7% return on the actual investments we make. What bumps to something like 10% is the following fact. When you add 190 acres that weren’t previously farmable really your return on those acres is almost infinite, right. Your bottom, you already own them, you just took the trees off of them, you actually sell the trees and get some money for the timber and then all said, you’ve got new acres, you get to charge the rental on. So that’s what boosts all of the farm, I wouldn’t say all of the farms, but a great number of farms that we own have an opportunity to make modest improvements in their productive capacity and get rent bumps over the first couple of years of ownership because of the improvements without regard to what the markets doing generally for farmland from our farmers. We will do that and we like to do it in a pretty disciplined way, this was a good, frankly a good and easy opportunity that probably not all quite as a bigger bump in valuation and return as this one is. But, we look for those opportunities all the time.
David Rodgers: Okay that’s helpful. One of things you disclosed in the press release yesterday I think it was total rent per acre at 361 versus 360 in the same quarter a year ago, looks like that might have been total portfolio as a period, as opposed to what actually expired and had to be renewed in the quarters, can you give us a breakdown or some more color on that?
Paul Pittman: Yes, I believe that’s how that’s reported and here is what fundamentally is going on. The only rent rollovers we’ve last fall, I shouldn’t say only I think that was one other one. But, the bulk of the rent rollovers we’ve where with my personal historic family farming operation and this is a function of how – of when the company was started. So virtually every lease we sign new is a three year lease. The original pool of properties that I contributed to set up the REIT, we took that pool of properties and divided them in roughly thirds. The first third had a one year lease on, the second third had a two year lease and the third group had a three year lease to avoid a huge rollover of that original pool all at the same time. So, the only real renewals we had last fall were with a related party, so what we gave was basically a 1% rent increase in an environment in which rents are flat to slightly down on that group properties. When you do the calculation as we released it across all properties it looks like a dollar in acre, the rent increase was actually on each individual acre where the role occurred somewhat higher than that of course.
Luca Fabbri: And just to clarify that average rent per acre was on the same property portfolio comparison with the first quarter of last year, not across the entire portfolio.
David Rodgers: Okay, yes that’s helpful. And Luca maybe a couple of questions for you and that all get to kind of guidance, but in the first quarter did you collect rents on all the acquisitions that you completed any of that lead into the second quarter?
Luca Fabbri: Yes, the acquisition completed yes. We collected rent if there was any rent due and the acquisitions closed in the first quarter with all cash rents. So yes we collected everything typically at closing.
David Rodgers: And just to make sure did – were the rents that were collected in the first quarter did you recognize one quarter of the year's worth or did you only recognize the pro rata share in the particular quarter in the first quarter in terms of timing?
Luca Fabbri: So from an AFFO perspective we recognized the whole quarter from a GAAP perspective is of course all the pro rata for the portion of the quarter when we actually own the property.
David Rodgers: Okay. So then I wanted to go in guidance you did about $0.04 of AFFO you guided to $0.60 at the midpoint for the year, as you think about kind of rolling forward the numbers you said you got the acquisitions under contract plus I think you said another 15 million of speculated acquisitions in the second quarter, did that kind of get up to that run rate what I am essentially getting at is as we go from 4 to 60 and kind of how does that look and play out over the course of the year?
Luca Fabbri: Yes absolutely that's - -that projected AFFO revenue that we disclosed in the press release yesterday does include revenue deriving from all these nearly closed acquisitions including recent the addition $15 million that we don't have under contract yet.
David Rodgers: And that $15 million you have funding for it as of today that's not, you don't need to go get additional funding for that other than the –?
Paul Pittman: Correct and also we assume that those $15 million of acquisitions will be all cash and that no equity.
David Rodgers: Okay. Great, alright. Thanks guys.
Operator: The next question is from [indiscernible]
Unidentified Analyst: Good morning guys. Just a follow-up on the guidance question. Does the guidance reflect any additional debt issuance throughout the year at this point?
Paul Pittman: The guidance reflect any additional debt issuance.
Luca Fabbri: Yes. Yes. In order to of the $15 million of additional investment capacity that we assume we will deploy in Q2 a portion of that will be additional bonds to be issued under the Farmer Mac Facility.
Unidentified Analyst: Okay and are you giving guidance on that at this point as to what that debt amount is?
Luca Fabbri: We don't go that much into detail. No sorry.
Paul Pittman: We expect it to be rates in terms similar to the ones we have done recently.
Luca Fabbri: Yes, exactly.
Paul Pittman: To happen here in the next couple of months so and it’s not going to be just that we still have cash on the balance sheet so.
Unidentified Analyst: Alright and then just a question on the sellers taking equity, I mean are you guys forcing them to take stock rather than OP units, because I would imagine, I can’t imagine why anybody would realistically want common stock over OP units when they could just be converted in exchange anywhere if they really wanted to sell the next day or whatever, so that’s actually – as they are doing or is there something that they are asking for it?
Paul Pittman: I mean when we referred to equity consideration it could be common stock and it could be OP units, here is the decision tree from the standpoint of a seller though. If you are a non tax payer you obviously would take stock instead of OP units because then it doesn’t matter. Well that’s sometime a case in a state situation because their basis has recently stepped up that if it is issued in the form of restricted stock it’s going to have a six month old before it could be sold anyway. The other reason someone might take a stock over an OP unit is if they only owned the farm for a modest period of time they don’t have a lot of tax advantages to taking an OP unit versus a common stock. We as the company are fundamentally kind of agnostic between the two, it’s really from their tax perspective whether we’re given, whether we are using OP units or we are using restricted stock as equity because from our perspective those two instruments have exactly the same value to the company from a dilution and dividend and everything else standpoint.
Unidentified Analyst: Okay, and then are you guys providing the sellers any protection on that caps collars or anything that may in case the stock dives or goes dramatically up during the time between you negotiate?
Paul Pittman: No, in a small transaction generally no, in the larger transactions there would generally be some sort of collar in that regard but in the small ones no.
Unidentified Analyst: Okay. And then just lastly Paul you said that, you would likely expand in the specialty crops this year, do you have any of that under contract and could you talk a little bit about where you are thinking at this point?
Paul Pittman: Yes, we do not currently have any of it under contract, our perspective is that the value of specialty crops in the overall portfolio is the following. When I say specialty crops think of vegetables, think of almonds, think of table grapes things like that. Those products trade on a slightly different cycle than the traditional real crop commodity as corn bean, soybeans, corn bean sweet things like that trade differently than that the direct consumption food products. So, we think you will dampen volatility of the overall portfolio by blending some of that in. As individual crops those specialty crops tend to have higher risk and somewhat higher cap rates to compensate for that risk. So our perspective is that our portfolio overtime would be in the neighborhood of 20% to 30% specialty crops. The crops we believes in to make them most sense are the ones with kind of growing demand on land that if for some – one of the big risk for specialty crops is that if the consumer demand changes can you convert that property to some other use. So, we tend to look for properties where if we had to convert it to some other type of crop it can easily be done with not a significant loss of value that’s one of the problems with the California market is that the pricing per acre is so large that if you lost your specialty crop opportunity and had to go to more traditional crop on that land you would be seriously hurt from a financial point of view. Whereas if you borrow something that has the ability to do bull berries or raspberries or whatever in upper Midwest or in the Southeast what you would find is that if you had to convert it back to a corn field you will take a valuation hit but not a very significant one. And so, I think you should expect to see us come into that marketplace at the lower risk end of the curve and gradually build from there because we just think it’s prudent.
Unidentified Analyst: Okay, thanks guys.
Operator: [Operator Instructions] And our next question comes from Paul Adornato at BMO Capital Markets.
Paul Adornato: Thanks, good morning.
Paul Pittman: Good morning Paul.
Paul Adornato: Can you talk a little bit about the geographic exposure and are you in all of the locations that you would like to be and in those locations do you have critical mass where you can operate efficiently or offer economies of scale to your tenants?
Paul Pittman: Yes, it’s a couple different questions there let me take them one at a time. So in terms of expanding our geographies, we are today in I think 10 separate states and we will certainly expand. We do not have any exposure today in the far eastern portion of the corn belt and there is some very good land very good opportunities and what I would be talking about our Ohio, Indiana, Michigan the valuations there never got as high and aggressive as in [indiscernible] did, we would certainly like to expand into that region great, great locations for long-term agriculture production. So that will be an area sort of an expansion. We will continue to build in the South East. We don't own any properties say in Georgia today or the northern half of Florida. We will probably get into those markets and that's an area of focus for us. It has the same characteristics of good water and good opportunity and high basis for the crops as well as specially crop potential just like the Carolina and southern Virginia have. Obviously we have a good basin in the delta as you all know. We will likely try to expand into the northern western United States think that Idaho, Oregon, Washington generally speaking that area is a mixture of both specialty crops and a lot of wheat ground, we would like to do both of those types of investment in that region and that's also pretty strong area of focus. What I have notably left out is the Southern – is California. My assumptions is that we will eventually own properties in California, we are frankly a little nervous about that market. There are some very interesting advantages though that come to us as a buyer given the water crisis that's out there right now. So if we found the right opportunity we would invest there and what I mean is buyer, the advantage you have right now is if you have invested in California like many others did three or four years ago, you would have gone and looked at two properties and you would have bought both of those properties after appropriate due diligence had great water rights. Well, a whole lot of people put money into California agriculture frankly they’ve realized that the water right they think they had isn't very good. And today when you go there you are going to actually tell who really has a good water right, I mean the facts are obvious. So, we are studying the region pretty carefully right now because of that but for all the reasons we discussed earlier in one of the questions pretty cautious about the market overall. Second part of your question was critical mass. We are absolutely achieving critical mass and we are frankly achieving that pretty much nationwide now which is why this volume buying effort is really taken off for us. We estimate that our farmers, farm overall in the neighborhood of around 300,000 acres not just 68,000 farm for us but they – we are not their only source of land for most of our tenants. So we have actually done a little bit work trying to understand that and that is a huge scale of U.S. agriculture which we believe will lead to this sort of volume purchasing benefit for all the tenants in our network.
Paul Adornato: Okay and just as a follow-up what’s your exposure and what's your thinking on irrigated land versus non?
Paul Pittman: Well you got it, I mean, we actually have had quite a bit of irrigated land today but you got to separate the irrigation question between irrigation that's in the relatively dry regions of the country where the irrigation is fundamental to the ability to produce as opposed to irrigation in the parts of the country that are frankly reasonably high rain fall and that's any place that sort of 30 inches a year or above which is everything east of the Mississippi and frankly all of the first row of states Western Mississippi are all plenty of total rainfall for the year. So, we don't have a lot of exposure to irrigated properties in the west because of the risk of running out of water. We have some but it’s a really low percentage and for example in our Eastern Colorado area I don't have it right at my fingertips but I would be shocked if we’ve got 10% of that portfolio is irrigated land it’s probably less than that. Its dry land and that's what we think is appropriate in that region and you pay dry land value for it. The irrigation we have near the Mississippi river or East of it fundamentally enhances production and really can boost return but you don't want to place like the delta or the South Eastern United States literally with almost as much as 50 inches in many of those areas of rainfall per year. Running out of water is not an issue it’s just making what irrigation does for you is it gives you water at exactly the right time. So without irrigation your production would still be pretty high, it just goes sky high with irrigation.
Paul Adornato: Okay. Got it. Thanks for that.
Operator: At this time I show no further questions and I would like to turn the conference back over to Paul Pittman for any closing remarks.